Operator: Good day, and thank you for standing by. Welcome to IMV Second Quarter 2021 Earnings and Operational Update Call. [Operator Instructions] I would now like to hand the conference over to your speaker today Pierre Labbe, Chief Financial Officer from IMV. Please go ahead, Mr. Labbe.
Pierre Labbe: Thank you, April. Good morning, everyone. My name is Pierre Labbe and I am CFO at IMV. I'm pleased to welcome you to our clinical and operational update and second quarter financial results conference call. Today, I'm joined by Andrew Hall, our Interim CEO and Dr. Jeremy Graff, our brand new Chief Scientific Officer. During this call, we will discuss our business outlook and make forward-looking statements. Any forward-looking statements made today are pursuant to and within the meaning of the safe harbor provisions of applicable securities laws. These comments are based on current expectations of management regarding future events and operating performance. They are not guarantees of future performance or results. All forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially. These risks are discussed in our continuous disclosure documents filed in compliance with applicable securities law. The press release, the MD&A and the financial statements are all posted on our website at imv-inc.com. If you wish to receive a copy of these documents, please do not hesitate to contact us. Finally, take note that we will take questions only from sell-side analysts. I will now turn the call over to Andrew. Andrew?
Andrew Hall: Thank you, Pierre. Good morning, everybody, and welcome to our clinical, operational and financial second quarter results. For today’s call, I’ll begin with an overview of the company’s operational highlights. Jeremy will follow with comments about the clinical programs and our recent translational update in ovarian cancer, and Pierre will conclude with the financial summary of the quarter. Before we begin, I’d like to take a moment to recognize Fred Ors and the contribution he made to IMV as CEO for the past 5 years. Jeremy, Pierre and I, as well as the whole IMV family wish Fred the very best as he pursues his next endeavor, and we thank him for his leadership and devotion to IMV over many, many years. Thank you, Fred. Today, I am pleased to review the IMV’s latest achievements and update you on our progress. At any juncture of change, it’s important to recognize the leadership team. It is Jeremy, Pierre and my goal to accelerate the evolution of IMV in the near term. We will do this by a resolute commitment to execution, alongside a refocusing of the scientific foundation that validates the DPX platform. To that end, I’ve been appointed to the role of Interim CEO, while continuing to oversee business development and operations. In this transition period, IMV maintains a seasoned and experienced leadership team who will execute the company’s strategy with the full support of a dedicated, passionate and talented team of employees. Dr. Jeremy Graff joined IMV as the Chief Scientific Officer. Jeremy has over 20 years of experience in preclinical and clinical research with a strong translational focus to novel immune activating immunotherapies in oncology. I’ll ask Jeremy to provide a little more color to his background in a few minutes. Pierre Labbe will continue as IMV’s Chief Financial Officer, thereby enabling continuance of focus on financial strategy and oversight. We’ve also appointed 2 renowned industry veterans in mmune-oncology as clinical advisers; Dr. Stan Frankel, who I’ve worked with at Celgene; Dr. Jose Iglesias, who Jeremy has worked with previously. We’ll be working closely with the leadership team to accelerate IMV’s clinical development programs. Their focus will be to advance Maveropepimut in relapsed/refractory DLBCL, optimize and initiate the next clinical trial of ovarian cancer and to identify therapeutic ecopoints to explore other clinical combination opportunities. I’m also proud today to announce IMV’s operational expansion into the U.S. with the recent opening of our corporate office in Cambridge, Massachusetts. The presence of IMV in the global biotech research hub, that is Cambridge, is an important step as we lean closer towards collaborations with other biotech, pharmaceutical companies, universities and research centers. This new corporate office will serve as a springboard for IMV to expand our talented team. We’ve already hired a VP translational development, are in the process now of expanding our team in the U.S. and in Canada as we get ready for an anticipated phase of company growth. Let me now give some brief highlights on our recent clinical accomplishments, which Jeremy will cover in more detail shortly. We recently announced topline data for the DeCidE1 Phase II clinical trial in recurrent advanced ovarian cancer. We’ll also provide a snapshot of the translational analysis that proves further validation of our platform technology. More specifically, we generated strong supporting evidence that Maveropepimut-S successfully elicits the generation of tumor antigen-specific T cells, consistent with the mechanism conferring clinical benefit. Additionally, in June, IMV initiated the Phase Iib trial in relapsed/refractory DLBCL, evaluating Maveropepimut-S with and without cyclophosphamide with and without Merck’s Keytruda. Lastly, on the financial front, I am pleased to report that IMV recently strengthened its balance sheet, raising net proceeds of approximately $23 million in July via an equity financing, translating into a pro forma cash balance of $45.8 million as of June 30, 2021. Our current cash position is expected to support advancement of our clinical process and will provide a runway beyond the expected upcoming delivery of key milestones. Also, we are pleased that we’ve been able to negotiate with the government of Nova Scotia, the deferral of monthly principal debt payments for 24 months, starting July 1, 2021, on a CAD 4.5 million loan. This deferral represents CAD 2 million over the next 2 years. We’d also like to take an opportunity to thank Nova Scotia and its continuous support of IMV. Pierre will provide additional details about IMV’s financial position and results later in the call. It is now my pleasure to turn the call over to Dr. Jeremy Graff to provide a brief background on himself and to review our platform as well as the recent clinical and translational data. Jeremy?
Dr. Jeremy Graff: Thank you, Andrew. I'm thrilled today to join you as part of IMV. I want to spend a brief moment just to explain my background and why I chose to join IMV. I have been in the industry now for more than 20 years, first 14 of that being with Eli Lilly and Company, working across the entire range of cancer discovery and development, ultimately starting and leading the translational oncology group within Lilly. In the last 7 years, my focus has turned to biotech to the IO space into delivering novel immunotherapies. And really, that's the reason that I've joined IMV. When I had the opportunity to look at the technology that IMV provides is very exciting, not only in the clinical proof-of-concept for the lead product targeting the survivin antigen, but really in the platform potential that this provides. So let's talk about that platform potential. The platform itself is a novel lipid nanoparticle delivery package of variety of cargo. Our lead product includes the survivin and peptide antigens, and we've now dosed more than 350 patients with this molecule. We know that it is safe. We know that it effectively activates a T cell response specific to the survivin antigen. We also know that we can package other things into this platform. We have data on vaccines, specifically RSV. We have data in our preclinical space that we could, in fact, deliver other cargo, small molecules, messenger RNAs, other types of RNAs, antibodies and viral-like particles. DPX has critical commercial advantages as well. It is fully synthetic, easy to manufacture. It's stable. As I said, we can package a variety of different types of cargo within the DPX platform. It is injected subcutaneously. It's a very simple, in office administration. It's very stable, and it can easily be scaled in manufacturing. So let's talk a little bit about what we announced yesterday, the completion of the advanced recurrent ovarian cancer trial DeCidE. This is a very heavily pretreated population. Nearly 60% of these patients were platinum-resistant or refractory. The final patient completed the study after being on more than 2 years with clinical benefit. Completed study shows us that median overall survival is 19.9 months, which compares very favorably to historical controls. The overall survival rate nearly 45% at 2 years. And importantly, our translational analyses continue to affirm that, in fact, clinical benefit is derived from the way the Maveropepimut-S therapy works. It's derived from generating specific T cells to the survivin antigen that these tumors so routinely overexpress. Let me turn to our Phase IIb study in relapsed/refractory DLBCL as well. As Andrew noted, we have started this study in June. It's a collaborative study with Merck, combining Maveropepimut-S with and without cyclophosphamide with and without Keytruda. This is based upon our Phase II experience in a prior trial, where we showed very compelling clinical evidence, particularly in PD-L1+ positive patients with this triplet combination. Sites have been activated, and we are imminently enrolling our first patients in this trial. We will be scoring PD-L1 expression using the Merck CPS scoring system for all of our patients. And ultimately, that may help us crystallize the patient population that we will take forward toward a pivotal trial. Now, I'll hand off the presentation to Pierre Labbe.
Pierre Labbe: Thank you, Jeremy. First, I would like to remind you that all the numbers I will be discussing are in U.S. dollars. For the second quarter of 2021, we incurred a net loss and comprehensive loss of $7.4 million or $0.11 per share, which compares to a net loss of $4.8 million or $0.08 per share for the same quarter ended June 30, 2020. The loss increase is mainly explained by an increase in R&D expenses of $1.4 million and a $1.2 million increase in G&A expenses. R&D expenses increase is mainly due to start-up costs for the Phase IIb trial in DLBCL, the timing of manufacturing activities for Maveropepimut-S and DPX-SurMAGE and an increase in net cap. This increase was partly offset by a decrease in costs for the preclinical development of DPX COVID-19 and costs for the ongoing basket trial. On the G&A expenses, the increase of $1.2 million in Q2 2021 is mainly explained by a rate increase in mid-2020 in the company's directors and officers insurance premium, an increase in headcount and an increase in recruiting fees for new executives and Board members. As of June 30, 2021, the corporation has approximately $22.8 million of cash or on a pro forma basis $45.8 million. Once we include the net proceeds of $23 million of the $25 million financing that we completed in July. Based on our current plan, we expect that this current cash position will be sufficient to fund operations beyond the completion of the expected milestones over the next 12 months. We also have $2.5 million in warrants expiring in May 2022 that could generate another $7.3 million and 10.7 million warrants that are expiring in 2026, that could generate another $22.5 million for a potential inflow of $29.8 million. As of August 10, 2021, the number of issued and outstanding common shares was 82.1 million and a total of 15.7 million stock options, deferred share units and warrants were outstanding. Note that the corporation's condensed, consolidated financial statements for the 3 and 6 month period ended June 30, 2021, and the related MD&A are available on SEDAR and on EDGAR. Thanks for your attention. And I will now turn the call back over to Andrew for his closing comments before the Q&A session. Andrew?
Andrew Hall : Thanks, Pierre. So, finally, let me walk you through the upcoming events, which we believe will create significant momentum to our story and help drive shareholder value. We expect to provide an update from our ongoing DLBCL trial in the first half of 2022. By the end of this year, we plan to provide updates on our ongoing basket trial with pembrolizumab, and more specifically, the bladder cancer and MSI-H high cohorts. With respect to ovarian cancer in the trial of Maveropepimut, we plan to leverage the recent translational findings to design the next clinical trial and present it to the FDA by year-end. Incidentally, we will also be presenting these data and the translational support at upcoming medical conferences. The investigator-initiated Phase Ib trial in hormone receptor positive/HER2-negative breast cancer is expected to begin in Q3 this year. We will evaluate Maveropepimut-S in combination with an aromatase inhibitor with or without radiotherapy or cyclophosphamide and expect to provide a clinical update for this trial in the first half of 2022. So with the strengthened balance sheet, our highest ever cash balance and several exciting oncology programs underway, we are confident that the IMV story will continue to gain momentum over the coming year. Our goals are clear and concise. One, deliver timely clinical results from our lead program, Maveropepimut-S. And, two, highlight the value of our DPX delivery technology through scientific communications, all driving shareholder value. Thank you for your attention this morning. And operator, we are now ready to take questions.
Operator: [Operator Instructions] And your first question comes from the line of Tom Shrader from BTIG.
Kaveri Pohlman : This is Kaveri on for -- on Tom's line. And before that, I just want to thank, Fred, we have really learned a lot from him, a lot of immunology. And then for MSI-high, can you remind us if these are checkpoint naive or experienced patients? And what Keytruda monotherapy provides in this setting?
Andrew Hall : Kaveri, thanks for your question, and thanks also for the acknowledgment on Fred. Agree, he taught us all a lot. Jeremy, I may have you answer the MSI-high question with respect to the bladder cancer trial -- with respect to the basket trial.
Dr. Jeremy Graff: So in the basket trial -- and we'll release these results later on this year -- the MSI-high groups are a mixed bag of those who have been checkpoint inhibitor experienced and those that are checkpoint inhibitor naive. So we'll go through that in more detail later on in the year. I think your second part of the question was, what do we expect in the checkpoint inhibitor naive population for MSI-high. We expect pembro is very active. So I think where our interest is, is whether or not we can help resurrect a response in the checkpoint inhibitor experienced patient population.
Kaveri Pohlman: And maybe if you can explain your development strategy in bladder cancer. Why so [LILAC] would Keytruda make sense in metastatic disease and SurMAGE with PD-1 in earlier line -- in earlier stages like prior and after surgery. Is it a different biology there?
Andrew Hall: Jeremy, again, that one's for you.
Dr. Jeremy Graff: So I think what makes sense for us in bladder cancer in the metastatic setting is based upon our basket trial results. And we do think, in fact, that Maveropepimut-S and Keytruda play well together in that space to drive a more significant response. The SurMAGE product that is next in line, if you will, within our portfolio, is designed to attack 2 different tumor antigen surviving and MAGE-A9 could also play very well with Keytruda in any of the bladder cancer spaces potentially, but our focus is going to be early in that particular trial.
Operator: And your next question comes from the line of Nick Abbott from Wells Fargo.
Nick Abbott: And first, also I pass along my thanks to Fred for helping us understand the story over the last few years. Andrew, can you walk us through the next steps on diffuse large B-cell lymphoma? Do you think all cohorts move past stage 1? Or is the goal to select a cohort to move forward? And then with respect to PD-L1, is that also a decision that gets made at the end of stage 1? And then I have a follow-up.
Andrew Hall: Thanks, Nick. Nice to hear from you. The strategy with DLBCL, the way we've staged the trial is to -- in that stage 1, identify the most probable and best combination to accelerate towards a registration program. Now that does not mean we will forsake the data at the end of stage 1 if we see benefit across multiple arms. We clearly understand that a monotherapy regimen in any disease state is something that's an important commodity and potentially provides us opportunity to take that earlier into the treatment paradigm. And so the anticipation is to interpret the Phase I data, identify a arm that will provide a most direct path to registration, but then make sure we're thoughtfully evaluating all arms for the potential benefit that they may bring across potentially a wider spectrum of the DLBCL therapeutic landscape. Is that satisfactory, Nick?
Nick Abbott: Just -- and PD-L, how does the PD-L1 status --?
Andrew Hall : Yes. So we're collecting PD-L1 at baseline for all patients that was done on the basis of advice from the agency saying that they wanted to see and confirm that after setting the hypothesis, the PD-1 drives benefit that we can demonstrate it clinically. The stage 2 of the trial is designed to remain an all-comers trial. That is not to say we wouldn't then run a parallel program specifically in PD-L1 patients to make sure we're accelerating that benefit. So the purpose of this Phase IIb trial is to, as you say, identify the best population and then confirm that PD-L1 maintains its role as siphoning responders from non-responders.
Nick Abbott: And then moving on to ovarian. Obviously, I'm sure you want to present this -- as you said, present this data at medical meetings, so you may limit what you could say, but are you able to break out for us in terms of those platinum-resistant refractory patients, the median and landmark overall survival?
Andrew Hall: Excellent question, Nick. And Jeremy, would you like to take that?
Dr. Jeremy Graff: I think that would be, in some ways, difficult to do. We could certainly do it, but it would carve up an already relatively small end value into even smaller parts that are probably not terribly meaningful. We will be presenting that data this fall in a variety of different conferences. We've already submitted one abstract to the upcoming SITC conference, hope to get acceptance of that abstract shortly. But to carve up a very tiny data set with -- and to even tinier parts might not be terribly revealing.
Nick Abbott: I mean maybe just to step back, is -- do you think the signal in those patients is as strong as a single in platinum-sensitive patients?
Dr. Jeremy Graff: Yes, we see response in all 3 patient populations, if you will, the platinum-resistant, refractory and sensitive. So I don't think there's any way for us to tell with this data set -- with the size of this data set, whether that clinical benefit is more or less in any one of those 3 patient populations -- across all of them.
Nick Abbott: Do you think there will be one or more clear biomarker strategies for the next trial?
Dr. Jeremy Graff: I think what we've been able to understand from our translational data is really from a variety of angles. We look at this orthogonally. The data tell us from all sorts of different angles that, in fact, our mechanism -- so survivin-specific T cell generation, is linked to clinical benefit. Now we can see that in the context of pre-existing T cells. We can see it T cells on treatment. So I don't know that we'll have a specific biomarker with which to select patients, I think that might be a high bar. The most obvious would be survivin expression itself. That's what our target is for the immunotherapy. Survivin expression is very high in this patient population anyway. So using survivin expression by itself would not be terribly informative. These patients almost routinely express survivin. What we're trying to understand more deeply as we interrogate these data, first pass analyses of the translational work is finished. It's giving us a lot of hypotheses that we can capitalize on for the next round of trials. And it's possible in that setting that we will find a discrete patient selection biomarker. But I think more than anything, what the translational data are telling us is that our mechanism is operative in the patients receiving the greatest clinical benefit. That's very helpful as we continue to take our path forward in this space.
Nick Abbott: So maybe just a follow-up on that, Jeremy, and I'll jump back in the queue. So are those hypotheses then more along the lines of what makes sense to combine with Maveropepimut in the context of a certain response from the patient's tumor?
Dr. Jeremy Graff: It’s possible that, that will lead us to particular combinations. We are right now just stepping into the earliest conversations with our clinical advisers in the ovarian cancer space. And so recognizing what our data tell us, not only at the clinical level, but at the translational level, helps us have a robust conversation with these advisers to place our experience in ovarian into the current and what we anticipate the future landscape of ovarian treatment will be. So it’s very likely that all of that combined will give us a very nice, tight clinical data package that we can take forward for a very solid follow-on trial.
Operator: And your next question comes from the line of Paul Stewardson from iA Capital Markets.
Paul Stewardson: So just calling in for [Chelsea], and definitely do also want to give a shout out to Fred for all the work that he's done. Just in terms of the sort of enrollment pace of DLBCL trial, how many patients do you think now you've initiated some sites? How many patients do you think you can get on a monthly or quarterly basis? And what will that look like by the time we get to the first interim results in the first half of this coming year?
Dr. Jeremy Graff: Andrew you want to…
Andrew Hall : Yes. Let me go ahead on, Jeremy, and then I'll sort of let you talk to the landscape of oncology recruitment as you've got a terrific base of experience there. So I will say at the top level, we remain committed to the time line we've set forward in the milestones we expect in the first half of next year to have the signal seeking part of the -- this trial to be available for public presentation. And everything that we've done with site enrollment to date keeps us aligned to that time line. The question you asked with respect to the pace of enrollment of patients and what we are to expect there, I think it makes good sense for Jeremy to opine on, having had the depth of experience he has clinically.
Dr. Jeremy Graff: Thanks, Andrew. So I think it's a great question. And as Andrew said, I think that we're strategizing to ensure that we get the enrollment that we projected. Right now, we've initiated 2 sites, we could enroll our first patient at any moment. We are expanding those sites dramatically, and we're expanding the regions within which we are doing the trial. So right now, it's North America focused. We will be pulling sites in from Australia and New Zealand and then ultimately, Europe as well. And so that will help us hit the enrollment targets that we need. And, hopefully, here very shortly, we'll announce first patient into the trial.
Paul Stewardson: And just a quick follow-up. So the data that we will be seeing, the clinical update in the first half of next year, is this similar to what we saw for the basket trial? It's where are the -- the go/no-go points for each arm? Or will there be any sort of response rates that or is that too early?
Andrew Hall : Jeremy, again, this one's for you.
Dr. Jeremy Graff: From my vantage point, it might be too early to rely upon response rates at that point. We might, depending upon when the patients get into trial, which we anticipate very shortly. We might be able to give an update on current state, but I'm not so sure that we could fully inform on response rates as quickly as the first few months of next year.
Paul Stewardson: And then one final one for me, if that's all right. Just in terms of the ovarian cancer, I mean, obviously, trial design is in early stages still and then there's talks to come. But is this definitely going to be a monotherapy-only trial? Or would you consider adding an additional arm to try and get some further info on other kinds of combos besides pembro?
Andrew Hall: Let me take again the top part of that question and then have Jeremy opine with his expertise below that. So one of the things that in many years across this industry, I know better than anyone, is it monotherapy activity -- any setting in oncology is something that you want to make sure you take as far through development as you can. It is a wildly important commodity when it comes to the opportunity for business development, it also confirms the therapeutic benefit of your mechanism alone. We also know that ovarian is a complicated difficult space, and there is a wild amount of unmet need and the patients suffering terribly from a disease that is a long way away from being well treated. And so we remain very open to doing the best and most high probability of success clinical trial in this space. And it might be worth Jeremy just opining on some very early conversations we're having as to some thoughtful areas that, that may be.
Dr. Jeremy Graff: I think it’s a great point, Andrew. I think one of the things I want to reaffirm is Maveropepimut-S with the low dose cyclophosphamide is active in this population – we think, very active in this population, and we’re excited about that in and of itself. As we chew on these data with our clinical advisers and as we get their impressions of current treatment landscape as well as what they anticipate the future treatment landscape will be, it’s very possible that we end up doing combinations, for instance, maybe with bevacizumab type of a molecule or maybe with a PARP inhibitor. We’ll have to await those conversations. We expect our advisers to dig deeply into the data with us for ovarian cancer, the data that I think really instruct us that we are generating surviving-specific T cell response that is definitively linked to the patients who are doing best on our various trials. So we haven’t firmed up what the next trial will be yet. That’s going to be really based upon the continued conversation with our KOLs as they digest these not only clinical data, but the translational data over the course of the next few months.
Operator: And your next question comes from the line of David Novak from Raymond James.
David Novak: First, I'd echo the sentiment with respect to Fred. He was an excellent CEO and we're sad to see him go. I guess, my one question would be regarding the median overall survival, you guys reported from the DeCidE trial yesterday. The range we're seeing here between previously reported PFS at 4.7 months and the median OS at 19.9 months is quite wide. So I'm just trying to rationalize that. In your prepared remarks today, you mentioned one patient who remained SD on your drug for over 2 years. Does this imply that the remainder of patients included in the OS calculation were put on other experimental therapeutics post-progression of MVP-S? And could you remind us what the median duration of response was in the trial?
Andrew Hall : And again Jeremy, this one's for you.
Dr. Jeremy Graff: Okay, Andrew. So the first part of your question was what did our patients see after they completed our trial, and that's one of the things we're digging through right now to really appreciate the -- what I think are outstanding median OS data and how well they stack up. So we'll be able to dig through that with our clinical advisors here over the course of the next month. Really appreciate that data and understand how then that OS data stack up. In terms of the OS relative to the PFS, I think for immunotherapies, we've often recognized that the OS can be outsized relative to PFS, just as a general comment on immunotherapy, in large part, because of the way we evaluate patients on immunotherapy. Sometimes size changes by CAT scan don't really reflect benefit in the IO space. So it's -- PFS is born where its flipside of the coin from the response rates and the CAT scans that we do, as well as other clinical considerations. OS, of course, can reflect that there's maybe more going on there that we can see by a CAT scan. So it's not unprecedented by any stretch that the OS number might be outsized relative to a PFS number, but we do need to search through the follow-on therapies and see if there's anything there that explains that. We certainly believe at the moment, what explains it is the efficacy driven by our drug. Now your second question.
David Novak: Was just on if you could remind us what the median duration of response was in the trial?
Dr. Jeremy Graff: The duration of response in the Ovarian trial, maybe, Andrew, do you remember right off the top of your head.
Andrew Hall: I do not have that right at my fingertips, but that's certainly something we can provide in follow-up.
Dr. Jeremy Graff: Yes.
Operator: There are no further questions at this time. Please continue.
Andrew Hall: Thank you, everyone, for your attention this morning and for the excellent questions. I wish everyone a very happy Wednesday, and I look forward to communicating with you all and follow-up following today's presentation. Thank you.
Dr. Jeremy Graff: Thank you all.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.